Operator: [Audio Gap] [Foreign Language] Brunello Cucinelli, President; Luca Lisandroni, CEO; Ricardo Stefanelli, CEO; Dario Pipitone, CFO; Moreno Ciarapica, Co-CFO Senior; and Pietro Arnaboldi, Investor Relations and Corporate Planning Director. [Foreign Language]
Brunello Cucinelli: [Foreign Language] So the most important thing is that next week, we have the Milanese Fashion Week, perhaps the most important appointment for our industry. And we have the international as well as the Italian press coming to the appointment. And we can definitely talk freely, speak freely with them because we have already disclosed our results. This is -- the same happens when we go to Pitti the early January. Then the second item, having clarified and completed our entire relationship with the new course of Saks Global following its restructuring, now this allows us to share everything with you. And we are very satisfied with this new relationship, both in terms of sales and brand image. So these new timings -- so for this call, we would like to also keep the schedule also for the years to come. As always, all 10 of us are here today. This is how we would like to proceed. I will present the key figures. Dario, our CFO, will go through the details. I will explain everything regarding Saks Global. Then I will go through a detailed growth plan for 2026, a couple of words on 2027. Luca will touch upon the international markets and then 5 minutes for the strengths of our business model in which we strongly believe and where we see great opportunities for the years ahead. Now -- so excellent revenues with a turnover of EUR 1.408 billion, representing growth of 11.5% at constant exchange rates and 10.1% at current exchange rates. Normalized EBIT of EUR 235.9 million, representing an increase of 11.4%, margins of 16.8%, up from 16.6% the previous year. Net profit of EUR 142 million, an increase of 10.5% with an impact on sales of 10.1%, in line with the previous year. So the completion of the '24, '25 and '26, 3-year project for Made in Italy artisanal production has been brought forward by 6 months with extraordinary investment, and this will enable us to operate to function with confidence over the next 10 to 15 years. So in 2025, investment amounted to EUR 146.2 million, accounting for 10.4% of turnover. Net debt for the core business amounted to EUR 198.4 million, reflecting the significant investments made and the distribution of EUR 68.8 million in dividends. The Board of Directors will propose to the shareholders' meeting called for 23rd of April 2026. So the proposal will be the distribution of a dividend of EUR 1.04 per share payout of 51%. Then the strong start to sales in the boutiques is also another important item together with a solid order intake for the upcoming fall/winter men's and women's collections. And this enables us to confirm for 2026 an expected revenue increase of around 10% at constant exchange rate, reflecting our long-term sustainable growth project. A gradual improvement in the financial position is expected, favored by the return to ordinary investment levels from 2026, having completed ahead of schedule the significant investment plan for the Made in Italy artisanal production. On 21st of January this year, the new AI-based e-commerce website was unveiled. It was developed on the proprietary Callimachus platform with the aim of offering personalized tailor-made experiences and placing uniqueness, exploration, discovery right at the core. We believe that this new pageless website can generate benefits, both in terms of brand image and revenue. And I'll give you more color later on. On April 14, in New York at the Lincoln Center, we will host the first of the world premiere of the documentary film Brunello: The Gracious Visionary, following the warm reception given to its absolute premiere on December 4 in Rome, Cinecitta. The premiere will continue in the major world capitals, and it will end in December in the Middle East. And this will entail a lot of travel. So a year has ended that we are pleased to describe as solid, balanced and beautiful, marked by excellent results in terms of revenue, profits and also international recognition. These achievements should allow us to look ahead with confidence to a future of outstanding prospects, growth in the years to come, positive forecast and enduring prosperity. Markets across all geographies appear to be expanding in a healthy and harmonious manner where each fashion brand expresses its own heritage, identity and positioning. We are receiving extremely positive feedback regarding the Callimachus platform developed by our Solomeo AI, our new e-commerce conceived to offer visitors an AI-driven digital experience through which they may discover the brand's collections in a manner that is consistent with the values that have always inspired us. At the core of Callimachus lies a new concept of website without pages and endowed with its own intelligence. It is a system that is capable of understanding and following each user's preferences, delivering a personalized, dynamic and pleasant and engaging experience in real time. Visitors are spending more time on the new e-commerce platform than in the past because the experience seems to be both stimulating and enjoyable. To conclude, in this first part of the year, sales continue to perform extremely well across all markets and then Luca will give you more color on this. The excellent order intake currently underway for the Fall/Winter '26 collections, together with the positive feedback from buyers, the international press and our teams in our boutiques, well, this leads us to envisage with confidence for this year too, a balanced and solid revenue growth of around 10%, accompanied by the achievement of a healthy profit. And now Dario, you know that you have been translated, so do not speed up too much.
Dario Pipitone: Yes. Thank you, Brunello, and good evening, everyone. I will begin with an analysis of -- and please use the presentation to follow the slides from Slide 24 onwards of the presentation. The final revenue figures confirm the preliminary data released last January 12 with revenue growth of 10.1% at current exchange rates and 10 -- 11.5% at constant exchange rates. With regard to the other income statement items, Slide 26 shows that as at 31st December 2025, we report a balanced margin and cost structure with the reported EBIT and net profit increasing by 7.6% and 10.5%, respectively, compared to December 31 last year. Normalizing margins for the extraordinary provision of EUR 8.1 million recorded during the year following the Chapter 11 filing of our client Saks Global. So normalized EBIT amounts to EUR 235.9 million or 16.8% of revenues compared to 16.6% in 2024, a growth of 11.4% reported there. First margin equal to 75.2% of revenues increased by 11.1% compared to last year, mainly ascribable to the sales mix by distribution channel, product mix and geography. Operating costs increased by 10.5%, reflecting the expansion of our fashion house. Now moving to Slide 28 for a detailed analysis of the main cost items, namely personnel costs, rents and communication investments. So we can highlight that personnel costs as at 31st December 2025 amounted to EUR 255.4 million, and it's with -- increasing by 9.4%, slightly less than proportional to revenue growth with an impact of 18.1% as at 31st December -- sorry, it was 18.3% last year. As of 31st December 2025, total headcount stands at 3,327 FTEs with an increase of 226 FTEs compared to last year. And this is down to the targeted expansion of our retail network and also the strengthening of our artisanal production workforce as part of the project launched last year to expand in-house handcrafted production. Now moving on to rent costs. So net of IFRS 16 effects, this cost amounted to EUR 218.9 million or 15.6% of revenues, up 19.5% compared to EUR 183.2 million or 14.3% of revenues as last year. This increase is mainly down to 3 different items: new and selected openings and enlargements carried out throughout the year, certain important lease renewals and partially costs that we began recognizing in 2025 relating to openings and enlargements expected in the coming months. As to the communication investments, they went up by 5% or EUR 4.6 million, amounting to EUR 96.9 million with an impact of 6.9% vis-a-vis EUR 92.3 million or 7.2% last year. So the above reflects our ongoing and increasingly strong focus on consolidating the brand's positioning within the absolute luxury segment as well as organizing family -- organizing small events that enhance the brand allure without affecting its exclusivity. As we said last August, major events were concentrated in the second half of the year mainly with communication investments accounting for 7.2% of revenues compared to 6.5% in the first 6 months. So before moving on to the main KPIs below EBITDA, it is appropriate to briefly comment on transport and duties, which amounts to EUR 62.4 million as at 31st December '25 or 4.4% of revenues compared to EUR 55.2 million the previous year, 4.3% of revenues. This item went up by 10.4%, in line with revenue growth. So to conclude on Slide 26, as at 31st December 2025, depreciation and amortization amounted to EUR 180.6 million compared to EUR 153 million in 2024, up 18% or EUR 27.6 million, mainly ascribable to new lease contracts signed during the period. Consistently with our earlier comments on rents, excluding IFRS 16 effects, depreciation and amortization amount to EUR 55.6 million compared to EUR 49 million in 2024, with a slight increase in the impact on revenues from 3.8% to 4% for this year. Following the EBIT growth, as previously mentioned, and after financial management reporting net financial expenses of EUR 29.1 million and a tax rate of 28.5%, net profit as at the 31st of December '25 amounts to EUR 142 million with an impact of 10.1%, up 10.5% compared to last year. Before concluding the income statement analysis, I would briefly come back to financial management with reference to Slide 29, sorry, where we provide the usual breakdown, highlighting so-called recurring component on which to project expectations for the year. Then we have a component which is linked to exchange rate fluctuations, and there is a component reflecting the effects of equity investments. The increase in the ordinary and recurring component is equal to EUR 15.7 million and is mainly attributable to -- well, for EUR 6.8 million, financial expenses and lease liabilities amounting to EUR 27 million as at 31st December '25 compared to EUR 20.2 million of last year, following new lease contracts signed during the period. And for the remaining part, EUR 6.4 million relating to the increase in net financial expenses associated with characteristic with net financial debt to the core business, which we will comment on shortly. The exchange rate component shows an income increase of EUR 18.6 million, mainly reflecting unrealized net gains from currency fluctuations and therefore, subject to variation from period to period. Now let's turn to Slide 30 and following. I'd like to share a few brief comments on the balance sheet items such as net working capital, investments and net financial debt. The net working capital, including other net current assets and liabilities, amounts to EUR 313.2 million with an impact on revenues as at the 31st of December 2025 of 22.2% versus 19.3% at the 31st of December 2024. In detail, well, the items were developed as follows: trade receivables at the 31st of December '24 amounted to EUR 82.1 million at 30 June 2025, EUR 103.6 million and EUR 101.2 million at the 31st of December '25, corresponding to 7.2% of revenues versus 6.4% last year. These dynamics reflect strong revenue performance, particularly in the wholesale channel and the net balance due from the Saks Global Group, which we expect to recover upon completion of the Chapter 11 procedure, against which we recorded an extraordinary provision of EUR 8.1 million, bringing our bad debt reserve net of utilizations to EUR 13.7 million at the 31st of December '25. Excluding the extraordinary event relating to Saks Global, we therefore consider our receivables position extremely sound with losses recorded during the year equal to 0.09% of revenues, which is, virtually nil, consistent with our track record. Payment terms to suppliers, collaborators and third-party consultants remain unchanged with trade payables amounting to EUR 177.1 million versus EUR 169.2 million at the 31st of December '24, up 4.7% due to the business growth. Inventory impact on revenues stands at 28.3%, which is substantially in line with both the 30th of June and the 31st of December 2024 reported results, and this is a level that we consider as healthy and ordinary for our company. Other net current assets and liabilities show a negative balance at the 31st of December '25, equal to EUR 9.7 million versus EUR 36.5 million in 2024, with changes that are almost entirely attributable to the fair value measurement of derivatives, hedging currency risks. Moving on to investments. I'm on Slide 32. You see that as at the 31st of December 2025, investments amount to EUR 146.2 million, 10.4% of revenues versus 8.6% last year. And they relate to -- well, for EUR 84 million, significant commercial investments supporting the image of our fashion house and the contemporaneity of spaces, both in showrooms and in our boutiques. For EUR 46.1 million, they are referred to likewise important investments aimed at consolidating our strongly artisanal production capacity within the 10-year project that Brunello mentioned and for about EUR 16.1 million, well, these are almost entirely referred to significant technology investments. Finally, the net financial debt for the core business on Slide 33 amounts to EUR 198.4 million or 14% of revenues at the 31st of December '25, in line with what we discussed in our August call versus EUR 103.6 million at the 31st of December '24. The 2025 net financial position for the core business reflects the positive operating results for the period, the significant investment plan, both in sales and real estate and changes in the net working capital as described above as well as dividend payments totaling EUR 68.8 million. Thank you all for your attention. Well, Brunello, well, I concluded my remarks. I would like to hand the floor back to you.
Brunello Cucinelli: All right. So before summarizing the 2025 and talking about the 2026 and '27 projects, I'd like to go into the detail of the Saks Global issue. We have had a great -- more than 30 years of relationship with Neiman Marcus, Saks and Bergdorf Goodman, which were brought together last year under Saks Global, but we continue to regard them as 3 distinct department stores in the world of fashion that are extremely important and among the finest in the world. We have grown consistently in both revenue and brand image. And in over 30 years, we've never lost a single donor. So we're not commenting on the financial merger. But for us, they remain separate brands, as I said. Only a very small amount of end customers overlap between Neiman Marcus and Saks. And this means that in the eyes of the final client, the strong and distinct value of the brands, Neiman Marcus, Saks and Bergdorf Goodman clearly remains. The spaces we have with them are very nice. They're beautiful, significant, located in equally important locations. Broadly speaking, our relationship with them is about, well, half concession and half traditional wholesale, representing approximately 6% to 7% of our total company revenues. For us, business in 2025 has performed very, very well with all 3, Saks, Neiman and Bergdorf, both menswear and womenswear and the image, the visual presentation and lifestyle positioning have remained at a very high level. Since January, there has been a new team in place. We think they are highly capable. We know them very well because the team is led by Geoffroy van Raemdonck and Lana. They are outstanding product experts, and this is something we've always appreciated. They're going -- they're coming to Milan next week. And so first and foremost, the discussion is about product, then about brand contemporaneity, visual identity and lifestyle and only afterwards about other topics. The entire team performed very well at Neiman Marcus. We met them in New York, and they clearly explained the group's new strategy, which is very clear, is based on concentration and elevation. This means closing nonprofitable stores, which incidentally do not concern us and carefully selecting brands in order to remain firmly positioned in the true luxury while including contemporary brands. So we are closing this 2025 cycle with them by booking a provision of EUR 8 million to cover any potential losses, as we said, which allows us to feel very comfortable for the future. These would represent the only potential losses in more than 30 years of track record with them. Since the end of January, we've begun this new phase. We've resumed deliveries. We are already receiving payments on time, and they are preparing orders with extreme care for the autumn/winter 2026 men's and women's collections. The feedback on the collections has been so far truly exceptional. They said, you have created the 2 most beautiful collections in our history. Hopefully, that's true. Well, these assessments align perfectly with those of our other clients, the teams in our boutiques as well. Well, the best objectives that they've used are rich and unique. We like them very much. They've told us that sales of our brand have been performing well at the beginning of this year, too. And this is a very important moment. So please note and remember that we always consider the 3 brands together, but separate. So we expect a year of solid growth, not only in terms of revenue, but also in terms of image by -- from Goodman, we will have 2 new spaces. So final conclusions for the year 2025, which is for us the second -- the end of the second year of our 5-year plan '24 to '28. 2028 will mark the 50th anniversary of the company. We have defined this year as record-breaking in terms of growth, profits, investments and also for the recognition. Revenues increased by 11.5% at current exchange rates and by 10.1% at constant exchange rates. Throughout our history, our 30 years as a listed company, we have achieved an average revenue growth of 13.7%. Well, in 2021, '22, we recorded a 30% growth, which was rather unusual, but 13.7% at current exchange rates and 13.4% at constant exchange rates. EBIT showed a slight improvement, 16.8% normalized because of the Saks-related topic. Net profit, 10.1%. Inventory remains healthy, high quality, well balanced as has always been the case for our company. Please note that we work in the apparel world, and this has been our average value since we became public. If inventory were a bit older, the image in the boutiques would be old styled as well and not contemporary any longer, and this would have an impact on sales. Investments, well, we reached a peak in 2025 with 10.4%. However, now that we have completed all our factories and the expansion of our headquarters, well, we feel well positioned for the next 10 to 15 years at net debt maximum level, but we consider that a healthy level over the next 3 years. It will decrease as investments will normalize at around 6% mainly related to commercial activities. But do not think we have reduced investments. They should be viewed in combination with the last 3-year period during which they accounted for approximately 9% on average dividends and change to 50% of the net profit. So how do we envisage 2026 in quite a tangible way? Sales in the first part of the year have been excellent across all geographies. And Luca will go into details shortly. We expect healthy growth of around 10%, EBIT growing more than proportionally, investments at around 6% and communication investments between 6% and 6.5%, what was 6.9% last year because in the past 3 years accounted for about 0.5%, but there was the film project, which ended, then inventory stable as a percentage at around 28%. Net debt improving, also thanks to lower investments in artisanal production. Dividends, as usual. So it seems to us that at this moment, the brand image is very clear, and it has a very well-rooted identity in menswear and womenswear, style identity in absolute luxury and identity rooted in exclusivity, craftsmanship and quality, the identity of the thoroughly Italian company, including its idea of sustainability. All of this supported by the recognition and accolades received in 2025. And the film was released in 2025. And in 2026, the movie will tour the world starting in April in the United States. How we see 2027, but only in general terms, just to give you some visibility. So no changes in strategy, healthy and balanced growth of around 10%, slight improvement in EBIT. And overall, we expect a similar -- a performance similar to 2026. And if that happens, we would be very pleased. Luca, now it's up to you. Thank you.
Luca Lisandroni: So let's now step into 2026 based on -- building up from 2025. The first part of the year brings us 2 very positive pieces of new excellent retail sales and a very, very positive Fall/Winter 2026 sales campaign. Let us begin with retail and starting from the product. So the first month of the year is always a pretty sensitive period because there is the overlap of 2 collections, winter and spring/summer. Winter sales continued to perform pretty well. But it was the first deliveries of the spring/summer collection that truly provided a boost to our sales. This means that we worked effectively on the season launch in terms of timing, proportions and weight and visual merchandising. But even more importantly, this means that the creativity of the new Spring/Summer '26 collection currently being sold in stores has been highly appreciated by end customers. And this represents a very strong guarantee for the rest of the season. So this becomes even more meaningful when you understand that this is consistent across all geographies and even balanced between men and women. So we can now confidently say that we can rely on a very beautiful and very fine spring/summer collection. Now from regional standpoint, still within retail. North America, excellent sales and even with a slight acceleration compared to the fourth quarter of 2025. Europe, very good, thanks to the crucial role of local clientele. And particularly positive and immediate has been the contribution from the flagship expansions in London and Paris, along with the widespread growth across the rest of the European network. As you know, we are very closely linked with a very high -- we look up at Hermes, and we greatly appreciated Axel Dumas' remark talking about expansion, saying that it is the customers who push the walls of the stores. It is a great expression. So we therefore want to thank our customers in London and Paris who have enabled us to make these stores even more welcoming and vibrant besides them being bigger. In Europe, we had no new openings throughout 2025 nor in this first part of the year. Therefore, the result is definitely on a largely comparable basis. Asia, excellent sales there with China growing significantly and consistently week after week from the very first days of the year, regardless of the different timing of the Chinese New Year. And when we take a look at our results in the past 12 months, we can say that store by store, we have achieved a new and higher level of performance. Now taking a look at our retail channel as a whole overall, we can say that it continues to benefit on the one hand from growth in the number of customers period after period between 5% and 10%, thanks to the onboarding of new clients and on the other hand, an increased average spending by existing customers. These figures highlight both the attractiveness of the brand and also our ability to create long-term value in customer relationships. And they seem to outline a very solid and reassuring evolution of our customer portfolio. The growth in average retail selling price is higher than the increase in average list price due to a sales mix that basically favors more special products. Well, whenever this occurs, we view it as a very healthy element for our sales and a strong representation -- and also for our positioning and a strong representation of the steady elevation of demand at the high end of the market. So based on this, we expect a very strong retail quarter in which the exchange rate effect, the ForEx effect will be noticeable, but then we believe that it will normalize over the course of the year, especially from April, where there was high volatility last year. But even at current exchange rates, however, we expect a very positive performance. Let us now turn to wholesale. We have completed the men's sales campaign, and we are approximately halfway through the women's campaign for the Fall/Winter '26 collections, but we can already say that we have received very flattering feedback on both collections. And we consider our order collection management to be excellent. So during the meetings we had in our showrooms, we have basically restated the message from our Christmas letter to send to our 400 multi-brand clients, probably the best of the finest in the world. In that letter, we asked them to -- even in the online activities, to basically try and achieve the very same nobility that the brands are recognized for in the physical brick-and-mortar world. We're very pleased that our clients have embraced this message, and we are highly confident that the wholesale channel will increasingly contribute positively to strengthening the modern and exclusive perception of our brand. The strength of the collection has allowed us to minimize the impact of this request on orders. So we expect to close yet another quarter with slight growth in the wholesale channel, but more important than the performance in the single quarter, however, is the assurance that multi-brand clients worldwide have closed a strong winter season with us and opened the summer season with sell-out levels that are even better than last year. In conclusion, the results and indications from this start to 2026 reinforce our conviction that we can experience yet another year of growth around 10%. We expect growth to be more concentrated in the retail channel and well distributed across regions, always moving towards an increasing geographic balance. Now 8, 9 minutes devoted to the main topics and then, of course, discussion and take your time for that. So we have a fashion house that accounts for 75% and lifestyle accounts for 25%. And we are mainly a ready-to-wear brand and only 25% in apparel and 15% accessories. This is how we want to grow. And this is how we believe we were recognized last year in London with the Fashion Oscar we received last December, a clear identity in Italian men's and women's style of true luxury, great craftsmanship, quality and exclusivity. So therefore, we must remain exclusive and also strict in our communication, especially online as we have always tried to do. So we account -- retail accounts for 68% and wholesale 32%, expect to drop to 30% in 2026. We have 136 directly operated stores, a few openings each year, just 3 or 4 expansions of existing stores and occasional relocations and between 470,000 and 500,000 customers annually with about 5%, 10% new customers added to the equation every year. And then we organize these events, these small-scale events worldwide, gathering about 100, 150 clients per evening. And we find this format to be very important because you can speak to anybody attending. According to recent measurements, customers spend about 30, 31 minutes in our boutiques. A year ago, it was 16 minutes, 50% men, 50% women. Casa Cucinelli are very important. We currently have 9 worldwide. We will open the 10th in Shanghai in early September, and we will organize events there. Then revenues per country. So today, 37% North America, 35% Europe, 28% Asia, of which 13% China. Perhaps in 3, 5 years, we expect the split to be as follows: 33% U.S.A., 33% Europe, 33% Asia, with China possibly reaching 18%, 20%. We started late in this country, but we see great opportunities in the years ahead. Then production and sustainability. We collaborate with approximately 400 SMEs, 800, 500 people, 80% of whom are located in Umbria, Tuscany and Marche. Sustainability. So Ricardo was included by Time in the Time 100 Climate 2025 list as one of the most influential international leaders in climate action. We have always believed in sustainability: in environmental sustainability, avoid waste, recover everything possible; human sustainability, meaning how much you earn; spiritual sustainability, how you treat others; technology-related sustainability, how long do I have to be online for business reasons; and moral sustainability because we are a company based in Italy that works in Italy, produces in Italy, manufactures in Italy and striving to work for the future of our nation, and we also pay our dues here. A very important topic. In 2025, we had around 3,400 employees with approximately 250 new hires per year. Employee turnover is extremely low across the company. However, please note that we never implemented and never will implement working from home or remote working for 3 main reasons. Because that way, if you do remote working, there is no distinction between private and work life. This jeopardizes collective creativity and especially young people learn almost nothing. And they basically come up with the idea that they will always work 3 days per week only. This is the reason why we decided to ban it. We have always wanted to work 8 hours a day, very focused with 1.5 hours in the company restaurants. So if we were to remove this no remote working rule, turnover in the company would be almost 0. This does not mean that we do not consider or hold human flexibility extremely high, which has always been a tenet of our company. So we all start at 8, but if you need to -- if you have a medical appointment, you can definitely take it. And the vibes in the company are pretty pleasant. So about prices. The pure price increase in 2026 is around 3%. Part of this depends, even though a negligible one, depends on the new clothing industry labor contract in Italy, which was renewed in 2025 after 6 years of unchanged numbers, EUR 60 a month after 6 years, I'm not so sure that it will be easy to recruit new labor. But we have 20,000 job applications per year. We only need 300, but you should consider that out of the 20,000, 4,000 are willing to perform labor work, of course, high-quality artisanal work. Then there are about 100 people in the design team, 20 of whom are top level, plus myself as a coordinator. That's why you can definitely be sure that even if I was to pass away, the company would not be stuck. My time at the company is 80% devoted to product, including visual, stylists and lifestyle. We have the academy in Solomeo for the arts and crafts, and we have a lot of confidence, thanks to that, that the value of the hamlet, Solomeo, that's very important. Every year, we welcome about 13,000 to 14,000 visitors, including customers, friends, journalists, celebrity, politicians, and I have a problem. The only person having a problem is me because I have to dine with someone every single night. So we believe that the village of Solomeo gives us -- this hamlet gives us a strongly rooted identity and uniqueness. And honestly, we work daily to preserve it. A couple of minutes on Callimachus. Callimachus is based on a new concept of a website. It was launched in January. Well, an important thing, well, usually, people tend to stay 4 minutes on our website, and now they stay 9 minutes, and they usually visit 3x more products, and this is very important. Just let me share a couple of feedbacks. Well, companies that are leading in the world, so leading in all industries. They said, for example, a truly exciting turning point for digital storytelling in luxury; or another feedback, a clear break from the traditional rules of e-commerce, a radically innovative experience, truly brilliant or congratulations on this fantastic project. Congratulations on the wonderful work you've done, we would love to meet you. Groq, for example, I can disclose this name, the one that NVIDIA bought for $20 billion. Well, Groq said that's their feedback, Callimachus reinvents websites and e-commerce. Solomeo AI has launched an online platform based entirely on artificial intelligence, transforming Brunello Cucinelli's e-commerce into a personalized shopping experience that reflects the attention and care typical of a luxury boutique. Another very important company says a true innovation that pushes the boundaries, highly inspiring. And then another one says beautiful website that truly represents your manual work and craftsmanship. This is the feedback of 10 leading brands in the world, which wrote to us, and we like this very much. Where we started this project as a sort of a hobby. This is not our core business, but we reached a great success. Conclusions, we think we have great opportunities in the years ahead, provided we continue to develop contemporary collections. So first and foremost, we have to focus on products. The Fall/Winter 2026 men's and women's collection are the most beautiful ever as reported. But having strong collections in stores gives us a bit more peace of mind between July and December now regardless of what happens than worldwide. So we are experiencing a very positive moment for the brand image and a brand which is Italian, artisanal, contemporary and exclusive in terms of luxury. So thank you very much for your attention. We can open up the discussion now.
Operator: [Operator Instructions] The first question from Andrea Randone, Intermonte.
Andrea Randone: I have a first question, which may be a bit trivial, a bit banal, but this is to better understand the guidance at constant exchange rates. You are talking about a quite heavy exchange rate with a quite heavy impact on the first part of the year. Can you give us more flavor? Are you talking about 2%? Is this going to be the impact on the full year? Is it a reasonable value? And then I have a second question. Can you summarize again the elements that lead to an improvement in cash generation? You talked about normalization of investments, stable working capital. So these seem to be the main elements for an improvement in cash generation. But this is certainly -- well, the normalization of cash generation is certainly important for the market. So if you can please recap these elements? And the third question concerning business. I'm curious to know whether you were happy with the take-up of Harrods in London or well satisfied or happy with similar initiatives. Do you think they are effective?
Brunello Cucinelli: Andrea, I will answer the second question. As far as exchange rates are concerned, we estimate 1.2%, 1.5% to 2% for the full year. And the first -- in the first quarter, we may have 4%, 5%. But then from April onwards, well, we think it will be 1.5% for the full year. Then as far as the take-up of Harrods is concerned, this was a beautiful success, honestly speaking. Now this year, I think, they will celebrate the 130th anniversary or something like that. So Luca will take the other answers.
Luca Lisandroni: Well, first of all, we want to go back to an ordinary level of investments in the past 3 years. As Brunello said, we had a very high concentration of investments. For next year, we envisage to continue with commercial investments that are absolutely ordinary. The extraordinary part of investments dedicated to factories will no longer be there. So please, Andrea, do not think we've dropped our investments. That's very important. Investments remain the same.
Operator: Next question, Oriana Cardani, Intesa Sanpaolo.
Oriana Cardani: I have 2 questions. First question about the first margin. Do you expect a result for 2026 in line with the 2025 result? Or do you see any potential for an increase as a percentage of revenues? And the second question is on fragrances and glasses, eyeglasses. Can you comment from a qualitative and quantitative viewpoint, the performance of these 2 categories last year? And for eyewear, are you expecting to extend the partnership with EssilorLuxottica on the smart glasses part?
Brunello Cucinelli: Luca will take the question on eyewear. And then as far as revenues are concerned, we expect to be in line with what we said. And well, if we can increase that by the end of the year even further, would be even better, but that's it. As for fragrances and eyewear, well, they have been performing very well, especially from an image viewpoint because we have positioned them the right way, as EssilorLuxottica said. So we are very important for them like Chanel. Well, with Chanel, they make huge numbers, but it's in terms of research and positioning. Fragrances are very high end and the response rate is very high. Do you want to add anything on eyewear?
Luca Lisandroni: Yes. This was the very target when we launched both categories. In these new categories, we wanted to achieve the very same positioning as the one we had in apparel. And I think we've managed to do so. And then as far as extension to smart glasses is concerned, for the time being, this is not in our plans, in our pipeline. However, we have a small high-end eyewear collection in the pipeline with gold frame. So we really want to focus on that. And these are glasses with a price ranging from EUR 5,000 to EUR 9,000. Well, going back to the previous question on first margin. Well, the question was on the first margin and not on revenues, but nothing changes. The final number for 2025 is a very good reference for the results that we are planning for 2026. Well, this doesn't mean that we do not -- we're not happy if we increase by 10 or 20 basis points, but the outlook that we have can be confirmed.
Operator: Next question from the conference in English, Chris Huang, UBS.
Chris Huang: I have 3, if I may. First one, just a follow-up on the first margin. You said that 2025 is a very good reference for 2026. But I'm just curious about the actual drivers of this first margin expansion in 2025. I think in the press release, you mentioned channel mix being one of the key drivers, but actually channel mix wasn't that big of a difference when it comes to year-over-year performance. So just wondering why gross margin has been so strong in 2025, the drivers behind? Secondly, on the start of the year, I think, Luca, you provided a lot of very helpful comments on the retail channel by different regions [Audio Gap] .
Unknown Executive: Have new colors on the geographies. So I would start from this question. So as we said multiple times, we do not believe that our business is mature. And the reason being that we have new customers across all different geographies. Then as to the conversion to -- concession to Neiman Marcus, you should consider 3 brands. [indiscernible], I am not talking about the Saks Global gathering together all the 3 brands. We see them as separate distinct brands. We have a very balanced relationship and then we can move on with these 5 doors per year. Then stores. So the openings are confirmed to Mexico City, Abu Dhabi. And in the first part of the year, we strengthened our network in Florida with 2 smaller stores and then in Wuhan, China. Then you see expansions will play a fundamental role in 2026. In Geneva, we will expand the store in the summer, then we will expand the store in Toronto and also Plaza 66 and Shanghai and also the opening of the Casa Cucinelli Shanghai. [ Paula ], I think we can close at around 140 stores. And we like this. We like the stores to be prime quality, the right size and also the number. We believe in exclusivity.
Operator: [Operator Instructions] The next question, a follow-up question from Andrea Randone, Intermonte.
Andrea Randone: I have a short follow-up question. You mentioned progressive results throughout all geographies. I know that tourism doesn't play a very important role for you. But what about Japan, considering that there are no longer Chinese tourists going to Japan? Is this having an impact on your sales?
Brunello Cucinelli: Yes, that's true, but this is not new. Last year, Japan benefited much less versus 2024 from tourism. 2024 was an extraordinary year in terms of tourism. However, sales are -- Chris, I have -- well, for you, please call Pietro at the end of the call. So don't worry, you will get all the answers you need. So please call Pietro at the end of this call. Thank you very much. Thank you. Let me just point out one final thing. Please remember that we always focus on absolute luxury on these markets. So please consider where we are in the market because we always say we work in the very high end of the market in the top luxury market. That's very important. All right. So thank you very much. Thank you. Chris, please call Pietro. Thank you very much. Well, for the people living in Milan. So remember, next week, we have the Fashion Week. And on Wednesday, we will also get feedback from the press on the women's collection. So thank you very much for this because now that everything has been disclosed, we can speak freely about everything. And so we have a lot of confidence and peace of mind. Thank you very much. Thank you. Bye-bye. [Statements in English on this transcript were spoken by an interpreter present on the live call.]